Operator: Ladies and gentlemen and welcome to the Energy Transfer Partners conference call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator instructions) I would now like to turn the conference over to your host, Martin Salinas, Chief Financial Officer of Energy Transfer Partners. Please proceed, sir.
Martin Salinas: Good afternoon, everyone. As you know, we issued our results yesterday after the market close and as we’ve done in the past I’ll give a high-level overview of our results for the quarter and for the year ended December 31st, 2009. I’ll also update you on where we stand with some of our projects in addition to discussing our financing activities. We’ll then go into Q&A. During the call I will make forward-looking statement within the meaning of Section 21E of the SEC Act of 1934 based on our belief as well as certain assumptions and information available to us. Kelcy, Mackie, John McReynolds, Bill Powers, and other members of our senior management team are here to answer your questions. I’ll start with ETP’s results. Our consolidated EBITDA was $477.1 million for the quarter of 2009, roughly $139.3 million higher than the fourth quarter of 2008. And EBITDA for the year ended December 2009 was just a little over $1.5 billion, an increase of $104 million over 2008. I’ll go into a little more detail about what specifically impacted us during the fourth quarter when discussing the individual segments. Distributable cash for the fourth quarter was $238.4 million and $962.1 million for the year. We paid $957 million in distributions to our partners during the year ended December 31st of 2009. I do want to point out also as relates to our distributable cash flow that we did have a one-time $11.1 million charge due to the settlement of interest rate swaps that were entered into back in the late 2008. And we also didn’t include a $15 million cash distribution from MEP that we received in January that relates to the fourth quarter results. With respect to distributions, we paid our quarterly distribution of $89.375 per common unit at $3.575 on an annual basis to our common unitholders on February 15th. As we stated a couple of months ago, we are committed to growing our distribution rates and the goal of resuming growth in 2010 remains intact. As we look beyond 2010, growth is clearly visible as we will see significant and incremental distributable cash flow generate from pipelines that have been recently been completed or that will be completed in a relatively short period of time. I am mainly talking about the Phoenix Lateral, TIPS, MEP, FEP, and Tiger. And I’ll update you on where we stand with some of these here in a moment. Moving to our specific operating segments, let’s start with our Intrastate Transportation and Storage Operations. Operating income for the quarter was $216.1 million compared to $164.2 million in 2008, and for the year operating income was $626.8 million versus 2008’s operating income of $718.3 million. Our results for the quarter were impacted by less volume than we saw a year ago due to the reduction in drilling activity that really started in late 2008, early 2009, the lower natural gas prices experienced during much of this quarter, and low basis differentials across Texas. However, we did start to see volumes mainly on the Barnett Shale and Bossier producing basins start to increase in December by as much as $250 million to $300 million cubic feet a day, and based on recent discussions with several producers, we expect that number to grow to as much $500 million cubic feet per day or more by the end of the first quarter of 2010. The lower volumes coupled with lower natural gas prices also results in lower margins from our operational gas sales. As we stated in our analyst meeting a couple of months ago, we hedged a substantial percentage of our estimated volumes in 2010 at an average NYMEX price of around $5.80 an MMBtu, and are already looking beyond 2010 to hedge more. As we stated in our last quarter’s earnings call, our year-to-date results were also impacted by the drop in natural gas prices that started in late 2008 and continued into 2009. Natural gas prices averaged $3.54 in 2009 versus the $9.66 in 2008. That led to a decrease in our margins year-over-year of $168.6 million. On the flip side though, we had lower consumption expense of $56 million due to the lower natural gas prices. We also experienced an increase in transportation fees primarily from adding additional capacity to our Interstate system of $41 million. Recall that a large part of our pipelines are supported by fee-based contracts with a significant portion of the fee structure consisting of a reservation fee. Our storage operations provided approximately $95 million of margin in the quarter and approximately $130 million for the year. While subject to fluctuations from quarter-to-quarter, our year-to-date margins from storage operations were fairly consistent year-over-year. In addition, the portion provided under fee-based agreements increased by roughly 17% to approximately $14 million in 2009. With respect to our Bammel storage facility, we had approximately 25 Bcf or roughly 40% of this 62 Bcf of working gas capacity contracted under fee-based arrangements. That’s a slight increase from the 23 Bcf we had at September 30th. We also had approximately 28 Bcf of natural gas stored as of December 31st that is being managed for our own account. We expect to withdraw substantially all of that amount over the course of the first quarter of 2010 and are well on our way given the recent weather we’ve experienced in Texas. Now, I would like to touch on our Interstate Operations and because we account for our share of MEP under the equity method of accounting, the segment information in our earnings release only includes Transwestern. However, I’ll give you our share of MEP’s results here in a minute. Operating income for this segment was roughly $36.5 million in the fourth quarter, a 10% increase over the same period in 2008 despite the challenging environment. Operating income for the year was $138.2 million, an increase of $13.6 million from the prior year. The increases in operating income were primarily due to higher demand fees from the Phoenix Lateral coming on line in the first quarter of 2009. As you will recall, a substantial portion of Transwestern’s transportation revenues come from demand fees that are not sensitive to commodity prices or volume throughput. For MEP, we’ve recognized $14.7 million in equity and earnings for 2009 and EBITDA of $14.5 million. We also received cash distributions of $16 million in 2009, and as I mentioned earlier we’ve received another $15 million in January related to the fourth quarter. From a MEP project update perspective, the expansions to bring the pipeline capacity to 1.8 BCF a day in Zone 1 and 1.2 Bcf a day in Zone 2 are well on their way and we could see a completion date as early as the third quarter of 2010. Looking at our Midstreams business, our operating income was higher this quarter than the fourth quarter of 2008 given the improved processing environment since this time last year. And the increase in volumes at our Godley plant as a result of increased liquid takeaway capacity that became available in early 2009. We continue to benefit from a healthy mix of fee and non-fee based contracts in our Midstream business while still limiting the downside to (inaudible) price risk with our bypassing capability at both our Godley and La Grange processing plants. Also, year-over-year operating expenses were down primarily due to the $11.3 million goodwill impairment charge we recognized in the fourth quarter of 2008. Last but certainly not least, our Propane business. 2009 was a record year for our retail propane operations, with operating income of $229 million, a 100% over 2008. While we experienced like many in the industry a decline in volumes sold, we were able to offset the decline with higher margins benefited from the drop in production cost during the early part of 2009 in addition to keeping a very close eye on our operating expenses. We were also positively impacted by a $45.6 million gain on our derivative used to hedge our fixed price programs in early 2009. We expect margins to remain strong in 2010 and are off to a great start given the weather patterns as of late primarily in the eastern half of the United States. From a capital perspective, we invested approximately $530 million in 2009 with much of this spent on bringing our Phoenix and TIS [ph] projects online this year. Taking into account what we have invested over the last several years, we’ve brought into service 36 to 42 inch diameter long haul transportation pipeline with over 6.5 Bcf a day of takeaway capacity, which are supported principally by long term fee based arrangement. Not only did the build out of these project provided us with incremental cash flow for years to come, it also provided us with the ability to offer our shippers unparalleled access to multiple producing basins and equally important access to numerous markets and Interstate interconnect across the country. Along the way we have gained a considerable amount of market knowledge and experience in putting these assets to work. I think you will see how this is benefiting the projects we are managing today. Relating to CapEx, we spent $31 million in the fourth quarter, bringing our year-to-date totals to $103 million. Looking forward to 2010 CapEx, we expect to devote between $1.2 billion and $1.3 billion in our natural gas operations mainly for our Tiger Pipeline and expected to spend approximately $30 million to $40 million in our propane operations. Maintenance CapEx is estimated to be around $110 million to $120 million for 2010. Now touching on financing and liquidity, since our last earnings call we’ve successfully completed several transactions, which have boosted our liquidity position while also supporting our investment grade credit metrics. We issued six point [ph] million units in October of 2009 with proceeds of approximately $276 million that was used to repay borrowings under our revolver. We also raised an additional $81.5 million in proceeds under an equity distribution agreement, commonly referred to as an at-the-market or dribble equity program through the end of 2009. In December, we issued $350 million of Senior Notes at Transwestern, and used those proceeds to repay amounts outstanding on our revolving credit facility. These offerings combined with the equity offering of $424 million in January of this year put us in a very strong liquidity position as we currently have available liquidity under our revolver of $1.94 billion. With respect to our JVs with Kinder Morgan, and I will start with MEP, we made a capital contribution of $200 million in October of 2009 and expect to make between $80 million and $90 million in capital contributions in 2010 to fund the expansions I referred to earlier. In November of 2009, FEP entered into a $1.1 billion revolving credit facility, which will be utilized to fund the construction of the project. As a reminder, both we and Kinder Morgan guarantee this facility. And as a result of putting this in place, we do not expect to make any capital contributions to FEP in 2010. That’s it from the timing of the MEP expansion, I would now like to provide updates on our other projects as well as some of the other new development that we are excited about. On FEP, we continue to be pleased with the progress of this project and expect to be completed within budget with a strong possibility of being lower than budget and within our announced timeline of a fourth quarter 2010 in service date. We have also wrapped up negotiating the construction agreement and are pleased to say 100% of the construction costs are locked in under a fee based agreement. This means, the cost overruns are borne by construction contractors, not us. Looking at Tiger, this pipeline project continues to be plough full steam ahead. After previously securing binding long term commitments to the entire original capacity of two Bcf a day, we have recently obtained a 10-year commitment for an additional 400 million cubic feet per day, bringing total commitments on Tiger to 2.4 Bcf a day. We launched our Open Season this past Tuesday to solicit additional shipper interest for possible further expansions and the ultimate capacity of the expansion will be based on producer response. From a construction perspective, we are seeking the same construction contract structure as FEP and are confident we will get there. We are certainly optimistic to see Tiger come on line late in the first quarter of 2010. Regarding the expansion, we expect to spend between $225 million and $350 million depending on the Open Season, and are targeting a late 2011 in service date. The success of this project truly demonstrates our continued focus on building a premier energy partnership by working with our customers in building the necessary pipeline infrastructure. Further increasing our presence in Haynesville, as we’ve recently announced we have signed an agreement to acquire gathering and treating assets located in the heart of the Haynesville Shale. The assets consist of a 120-mile gathering system with a capacity of 225 million cubic feet a day and treating facilities with approximately 480 million cubic feet a day of treating capacity. This acquisition along with other active developments not to mention the Tiger Pipeline Project will give us a significant presence in the rapidly emerging Haynesville Shale. We continue to be active in looking at opportunities that not only bring commercial and operational synergies but that also allow us to maintain or improve our investment grade credit metrics by delivering unitholder value. Now, turning our attention to ETE, our General Partner, ETE’s cash distributions received from its interest in ETP, which again consist of its GP interest, 100% of ETP’s IDRs and 52.5 million common units for the fourth quarter totaled $154.7 million, an increase of almost $15 million from the fourth quarter of 2008. Based on its quarterly distribution rate of $0.54 per unit or $2.16 on an annualized basis, ETE paid out $120.8 million in quarterly distributions to unitholders today. ETE continues to demonstrate growth going from an annual distribution rate of $1.92 per common unit in the third quarter of 2008 to an annual rate of $2.16 per common unit for the quarter ended December 31st, 2009, despite the very challenging headwind during that time span, a very attractive 12.5% increase. You probably also noticed that we deviated a little from our tradition of maintaining ETE’s distribution coverage ratio around one time. We wanted to preserve the flexibility of refinancing our existing debt when the opportunity presents itself again. To remind everyone that our term B loans doesn’t expire until late 2011 so we could afford to be patient and certainly opportunistic. In closing, we are extremely proud of our large, well-diversified partnership we’ve built. It’s one that has withstood a very challenging environment while continuing to remain focused on long term growth and we are very proud of our people who have worked hard to get the job done. As I stated earlier, we couldn’t be more excited about what the future holds for Energy Transfer and look forward to delivering results. With that, operator, let’s go into Q&A. Thank you.
Operator: (Operator instructions) Your first question comes from the line of Ross Payne with Wells Fargo. Please proceed.
Ross Payne: How are you doing guys?
Martin Salinas: Hey, Ross.
Ross Payne: First question on maintenance CapEx, did I hear 110 to 120 and I am just kind of looking at 2000 – I know 2009 was down, but 2008 I know it was around 140, I was just curious what’s moving down.
Martin Salinas: Yes, Ross, on a couple of those we had some integrity projects that needs to get done between the two periods ’08-’09. Those have gone away as also we continue to evaluate just from a cash perspective some of the wants versus needs. It’s really allowed us to focus on again what the needs are from a maintenance CapEx perspective. That’s why you are seeing that fluctuation between the years.
Ross Payne: Okay. And also on the propane, you mentioned 45.6 million in derivative gains, what – could you just explain that a little bit?
Martin Salinas: Yes, that was a timing – if you go back and look at fourth quarter of 2008 given the price movement on the commodity side, we had a loss of about $45.6 million in the fourth quarter of 2008. That’s just getting reversed in the first quarter of 2009 as those volumes or those gallons were delivered.
Ross Payne: Okay. And also on your reconciliation of distributable cash flow you have a section here for inventory hedging at lower cost to market, 27.3, if you can explain that a little bit. Thanks.
Martin Salinas: The 27.3 million, yes, you go back and look a lot of this is just timing on – from an accounting perspective of when we log in those derivatives and really more the spread of gas that gets injected into Bammel and then it gets withdrawn during the winter months. Due to the recognition or our accounting rules recognition, you are seeing some of that timing occur. That $27 million really reflects some of those – the lower cost to market charges that we took back in late ’08 and early ’09, and as we withdrawn the inventory we’re kind of I guess seeing that reversal come through. So, that’s what that $27 million is.
Ross Payne: Okay. Is that non-cash I guess or==?
Martin Salinas: Well, it’s really cash, but it’s not flowing through – it was non-cash when we made the write-downs back in late ’08, early ’09.
Ross Payne: Okay. Okay, just to get to a cash EBITDA number, I guess I won't play with that number too much, but I guess I’ll take out the unrealized gains on interest rate derivatives, commodities, et cetera.
Martin Salinas: Yes.
Ross Payne: Okay. Because you gave me up into the kind of the 360 – I am sorry – or somewhere in the 392 range.
Martin Salinas: Yes. That was back in – I believe that’s correct.
Ross Payne: Okay. All right. That’s just from me. Thanks guys.
Martin Salinas: Okay.
Operator: Your next question comes from the line of Darren Horowitz with Raymond James. Please proceed.
Darren Horowitz: Hey, good afternoon guys. Martin, just a couple of quick questions for you on the Interstate side of the business, appreciate your color on Barnett volumes but can you give us an update on any more of your open transport capacity that you’ve hedged, any further initiatives to kind of lock in fuel retention margins and kind of how you think volumes progress with the current basis spreads, not only this quarter, but into the second quarter as well?
Mackie McCrea: This is Mackie, I’ll answer that. As we stated in our last call, we have slowly started seeing growth, and as Martin mentioned earlier, we’ve seen the volumes grow both at the Bossier and the Barnett Shale. So we’re kind of balancing that growth and that capacity that allows producers to have the right to versus hedging any open capacity that we have, but it is something that we do continue to look at. If we see the opportunity to hedge at spread that we think are favorable we certainly will do that. In the mean time, we're just pleased to see the growth that we didn’t see last year coming out of those areas.
Darren Horowitz: Sure. Mackie, what does it take for you guys to lock in more fee based contracts for open storage at Bammel?
Mackie McCrea: (inaudible) on these kind of calls for competitive reasons don’t give out that information. It’s negotiated based on a number of factors, are there transportation synergies embedded in there, what are the terms, what are the flexibilities, so the demand charges per storage vary fairly widely on the service that’s being requested.
Darren Horowitz: Okay. And just one final question on the Midstream side of the business. Can you give us a little bit more insight into the contract mix this year for your midstream business, particularly around your hedges, so we can get our arms around just how much of a benefit you might have if processing fundamentals improve further?
Mackie McCrea: Okay. Well, from the – oh on the Midstream – from a processing perspective–
Darren Horowitz: Right.
Mackie McCrea: If you look at up North Texas, our Godley facility is kind of been fluctuating up and we think volumes it’s slowly increasing there as we have on the rest of our system. We’ve got about 10% to 15% of that as keepo [ph]. Our volume is down. Our southeast Texas system by and large are just maintaining a – keeping up with the clients. So we are seeing some just steady flows there. And then that’s pretty much it.
Martin Salinas: Yes, Darren, I mean – this is Martin – there is a really from a contract mix as Mackie indicated there, there hadn’t been too much of a shift in what we are seeing last year or so. We have a flexibility at both Godley and La Grange to bypass. We’ve not historically hedged a whole lot of that business. One, it’s difficult to hedge out more than three to four months. Secondly, it’s just not a big part of our business. And it’s kind of benefited us. If you look at really over the last three to four months and seeing the improved processing margins, again, it’s just, we can hedge operationally the downside and giving us the opportunity to capture better margins on the upside.
Darren Horowitz: Sure. I appreciate the color. Thanks guys.
Martin Salinas: Yes, you bet, thanks, Darren.
Operator: The next question comes from the line of Derrick Baliski [ph] with RBC Capital. Please proceed.
Derrick Baliski: Hey guys.
Martin Salinas: Hi Derrick.
Derrick Baliski: Hi. Just out of curiosity I was wondering you know it seems like the SG&A dropped off in the third quarter and stayed low again in the fourth. Is this kind of a new run rate that we are seeing here in the low 30s?
Martin Salinas: We haven’t the guidance 2010. What I will tell you there is a couple of things is we’ve – as we stated before, continue to look at our expenses. One thing is as we are seeing in another industry. Looking at competition that had launched this. So those are things that we are focusing on. And the other thing is we had a run rate of a FERC [ph] expense that we no longer are seeing. So, going forward, I think as you see us increasing a little bit of the size just given some of the discussions we’ve had around development, probably it’s slightly higher. I wouldn’t necessarily use this as a run rate going forward, but probably any guidance I would give you would be to probably a trend just a little bit.
Derrick Baliski: But not all the way back up to the mid 50s level we were seeing in kind of early ’09?
Martin Salinas: No, no.
Derrick Baliski: Okay, thanks.
Operator: The next question comes from the line of Michael Blum with Wells Fargo. Please proceed.
Michael Blum: Hey, good afternoon everybody.
Martin Salinas: Hey, Michael.
Michael Blum: Couple of questions. Can you talk about the – what the volume contribution was in the fourth quarter from Texas independents? I guess I am trying to figure out did you get a full quarter contribution or is there going to be a ramp associated with that?
Mackie McCrea: Well, Michael, the way we operate our systems, it’s hard to answer that question and the reason for that is our shippers have the flexibility to move points, so, for example, any given day, we may have 500 or 600 or 700,000 going to Carthage that the next day or the next month must be past another point say Katy or southeast Texas. The way we operate our system is to of course run as little compression as possible to provide the services that we are required to provide. So there maybe some days when we are running tips [ph] at 800 or 900, which is 80% to 90% of the capacity and there maybe some days when we are running at 50% of capacity because it makes more sense to fully load up another path from a compression efficiency standpoint. And so to answer that question as far as relating that to an – the earlier answer is that as we see growth at the Barnett Shale and the Bossier, that gas will be sourced, some of which day to day through tips [ph]. And so they fill apart our entire system.
Michael Blum: Okay, that’s helpful. The second question I had was on the incremental capacity you are signing up on Tiger. Obviously you had – you had a pretty good rate of return on the initial capacity. Will you have similar returns on this; will they be higher, lower, the same?
Mackie McCrea: They will be – we are very pleased with those return. They won't be lower.
Michael Blum: Okay, fair enough. And then can you just – are you willing to disclose what you paid for the recent gathering assets you bought in the Haynesville and what type of multiple we should be thinking about there?
Martin Salinas: Hey, Tom Mason, can we do that?
Tom Mason: Well, you can if you want to, I am not – it’s a kind of few, but with – sure.
Mackie McCrea: Sure. Let’s do it. Back to you.
Martin Salinas: Okay. Yes, we paid $150 million for those assets. They complement a large acre position that we already had dedicated to us. We couldn’t be more excited about that. And the synergies that – that system fits in with what we already had owned in the Haynesville provides them a significant upside for us in our Haynesville gathering opportunities.
Kelcy Warren: And, Michael, this is Kelcy, we love acquisitions like this because if you just look at the multiples, EBITDA that they were making, it’s a good deal for us, but if you look at the path that we will no longer be required to lay to other gas that we were going to gather, it really gets to be a great deal. So we are very pleased.
Michael Blum: Okay, understand. Then thanks for providing that. My last question is just on the Marcellus, you made an announcement with an investment there. Is this – anything, any color you want to add to that and then is this kind of your first step in there and is there more to come?
Martin Salinas: Yes, we have – I don’t think we’ve made a press release or anything but we have consummated a deal. We already actually in the process of laying some top [ph] lines and we are being a little bit quiet about that, several reasons, one, the producer has asked for that, and also there is a lot of competitive acreage that we are going after, but we are pretty excited after a year and a half of trying hard – of starting the foundation up there and really excited about the future up there.
Kelcy Warren: And yes, I would say that’s just the first step of hopefully many that we are going to take in Marcellus.
Michael Blum: Okay, thank you very much.
Martin Salinas: Thanks, Michael.
Kelcy Warren: Thanks, Michael.
Operator: Your next question comes from the line of Helen Ryoo with Barclays Capital. Please proceed, ma’am.
Helen Ryoo: Yes, thank you, good afternoon. Couple of questions, first, when you think about your CapEx commitments beyond 2010, would you say it’s around – I guess the only thing left is the remaining Tiger spend, which, I guess depending on how the Open Season goes, would add another 300, so, is it fair to say it could come out to around 500 plus I guess what you end up saying – spending on in the Tristates gathering system and also the water JV acquisition you made?
Martin Salinas: Yes, Helen, this is Martin, we’ve always provided 2010 guidance, we’ve not provided 2011 as we’ve done and will continue to do, we’ll update that as we see projects unfold, as we see commitments to move forward with projects. So to give you a number today it’s only be as good as what we have today. And as we talked about, there is a number of activities that we are pursuing. There is a number of things that we have just embarked on. It could mean a higher number, as to how high, that’s something that we’ll continue to evaluate as we get the commitments from the shippers or customers to move forward with that.
Helen Ryoo: Okay, and then you gave 2010 guidance, you said about 1.2 to 1.3 that’s on the natural gas asset. I guess – does that include some spending on the Tristates–?
Martin Salinas: Yes it does.
Helen Ryoo: Okay. Could you say how much?
Martin Salinas: Between 20 million and 30 million is what we’ve estimated for Tristates.
Helen Ryoo: Okay, okay, and then I guess just a little bit more on Tristates, who are the main producers behind that system? Is it Chesapeake?
Martin Salinas: Chesapeake is one of them.
Helen Ryoo: Okay. And then I guess the plan is to bring the Tristate volume into Tiger, is that that the synergy you are talking about?
Martin Salinas: Yes, Tiger will be a major interconnect for that system, yes.
Helen Ryoo: Okay. And I guess 2010 cash flow from Tristates would be pretty minimal, is that correct?
Martin Salinas: We’ve not provided that and I think as both Mackie and Kelcy mentioned, this is an acquisition. We are on a – it’s a good deal based on what we think we can get out of the assets and building up the relationships would be a better. But in terms of providing the cash flow guidance for 2010, we are not going to give that.
Helen Ryoo: Okay. And then just finally, what are you seeing, I guess you’ve stepped on the acquisition front, what are you seeing in the market, the M&A environment?
Martin Salinas: We are more aggressive now than I think we’ve ever been in our history and we are optimistic as well. We are chasing small deals and we are chasing very large deals as well and I will tell you, Helen I am seeing a little bit of a break in the wall here, we might have some success in 2010, we are certainly trying.
Helen Ryoo: Okay, great, thank you very much.
Martin Salinas: Thank you.
Operator: Your next question comes from the line of Ted Durbin with Goldman Sachs. Please proceed, sir.
Ted Durbin: Yes, thanks. Just coming back to the Intrastate, I think you had said you were running around 74 % utilization, has that bumped up, down, kind of what’s your outlook for that going forward?
Mackie McCrea: Yes, Ted, there are some days that we do exceed that level, but I think what we are seeing and with the number of wells that are shutting the Fort Basin that we have been told will be coming on line over the next quarter – several quarters, we expect that to grow. So we have every expectations of approaching 90% plus by the end of the year on a consistent basis.
Ted Durbin: Okay, great. And coming back to storage to Bammel, I think you said you did $95 million of margin in the quarter and $130 million in the year. Can you – was the quarter just extraordinarily as strong, how do we think about run rate for that going forward?
Martin Salinas: Yes, Ted, this is Martin, part of the at $95 million can you go back to the (inaudible) $52 million of that was annualized gains that due to timing of – on a full year basis when you look at the $130 million pretty consistent to what we saw in 2008. As we look at the balance of (inaudible) I mentioned we got about 25 Bcf tied up under fee based arrangements. The remaining capacity is as I think Mackie indicated, we continue to shop that up fixing others contracts. When we don’t have that, it sounds like the system or the reservoirs remains empty, we’ll utilize it under our account and look at capturing attractive spreads as it presents itself during the counter bid.
Ted Durbin: Okay, great, and then just considering all of the financing that you’ve done recently, how are you feeling about needs in 2010 sort of the debt end an equity fund?
Martin Salinas: Ask that again?
Ted Durbin: Yes, in terms of your financing needs for 2010, or the remainder of the year, given all the financing you’ve already done?
Martin Salinas: No, still very good where we are today given the last time we operate, that we did back in January, almost $2 billion of revolving credit facility capacity. Feel good about funding the projects that we have today. The Tiger expansion is really set for a late 2011. We’ll look at paying some dollars probably in late 2010. And then as Kelcy mentioned, the expenses dollar to dollar that takes place we’ll look financing them quarterly. Fortunately the capital markets have been freed up. We’ve seen a lot of activity even early as this year. So, we feel good about where we are and certainly as we continue to look to grow, we’ll balance that out with the appropriate amount of debt equity.
Ted Durbin: Okay great, thanks a lot guys.
Martin Salinas: Thank you.
Operator: Your next question comes from the line of Yves Siegel with Credit Suisse. Please proceed.
Yves Siegel: Good afternoon everybody.
Martin Salinas: Hi, Yves.
Yves Siegel: Good. Could you talk about the thought process behind the water JV?
Mackie McCrea: You bet. This is Mackie, Yves. As we had tried to grow up in the Marcellus, we are king of getting our feeling ourselves what we roll out is really what’s evident in all the shales, but especially in the Marcellus, because of the difficulty in disposing off water underground up there, that there has to be a water solution in order to develop the reserves up there and we’ve been working with producers over the last year to kind of come to a solution and by forming this joint venture with Heckmann, we really now have an answer and we couldn’t be more excited. Our focus is of course on gathering and treating and transporting natural gas, but the water complements it, number one. And number two, it’s an absolute necessity, and we are meeting with governors as part of this partnership in West Virginia and some legislative folks in the Pennsylvania and there and also in Washington, everybody is of course excited to hear that somebody is paying attention in dealing with the water concerns because they have to be dealt with to develop that play.
Martin Salinas: And as you know, typically in the outfield [ph] water is trucked away from the well-side and it’s hauled to a disposal well. That’s your typical way that you deals with water. And then there is a purchase of freshwater for your bracing [ph]. That’s not really very available in the Marcellus at all. There is a lack of quality disposal reservoirs, therefore creating much longer transportation hauls therefore deteriorating the roads. And then of course the fresh water is limited as well. So we think this is a – to me this is as natural as building an aiming [ph] plant or building a top line, it’s all part of addressing the producer’s wants and needs in that area.
Yves Siegel: So, when you answered Mike’s question early on in the call in terms of what you are doing in the Marcellus, were you speaking to the water JV or were you actually had some infrastructure or opportunities around gathering and more conventional type of natural gas activities.
Martin Salinas: What we spoke about or I spoke about earlier was strictly natural gas gathering.
Yves Siegel: Okay. And then any sense on how much dollars the Marcellus might – and if you could may be bifurcate it between the water and the gathering, are you looking at it – you must be looking at two separate investments?
Mackie McCrea: Yes, we really, as Martin said, no, we are not giving guidance on that, but there is so much opportunity up there, it’s wide band. But let me go back to your last question and then I will finish. The project that we have ongoing is gas. However, there are ten general water opportunities that we do anticipate will develop off of that, but the initial deal was strictly just gas. But we are working on a number of different opportunities up there and we are very excited about the potential of some of those coming together, and if they do then it could be a very nice contributor to our growth up there.
Yves Siegel: Okay. Well, if I could, is it mutually exclusive, in other words, you go to a producer, saying hey guys we have a water solution for you, but in order for you to do the water solution, we need you to let us gather your gas.
Martin Salinas: Yes. They are exclusive. However, we hope not, because as you know, buying right of way, clearing right of way, digging a ditch, those are all cost that you incur on laying the top line or a water line and to the extent that two separate serving pipes could be laid in the same ditch or the same right of way is obviously economies of scale that we hope to achieve. So, they certainly could be initially exclusive, but that we are hoping that they are done in cooperation with each other. They already have, I should say.
Yves Siegel: I promise I’ll move on, but – could the dollars that you invest in Marcellus be significant – be material in 2010, or do you think it’s in the play out over a longer timeframe?
Martin Salinas: I think a longer timeframe. I would like to think we will be announcing more projects soon. But I don’t think there will be meaningful dollars spend in 2010. Do you agree, Mackie?
Mackie McCrea: Yes, we may begin spending, but we won't see the results from a revenue perspective until 2011, yes, of any material perspective.
Yves Siegel: Okay. And if I could just push a little bit, just shift gears, when you for the quarter on the Intrastate side, you had a nice pickup in gas sales. Any change in the dynamic there that you could talk about?
Martin Salinas: I am sorry, you said Intra?
Yves Siegel: Intra, yes, we had a nice pick up in natural gas sales.
Martin Salinas: Yes, as you know we hedged a large portion of our operational sales and then as the cold weather hit and process hit higher levels during the month, we (inaudible) the market and make sales at those times, oh no, we are very pleased with those, the retention revenue sales.
Yves Siegel: Okay, great, and two more quick ones. As you go forward, any target on what you want to hedge going forward, percentage wise or are you just going to be opportunistic or–?
Martin Salinas: As part of our 10-Q.
Yves Siegel: 10-Q or a basis if you could head lock that in, yes.
Martin Salinas: Yes, way we address the hedge first the spread is that the way we hedge that by selling that space. And we are having success on adding some volumes with some shippers that already own capacity. As we mentioned, we see the volumes growing. So we see – towards the end of this year, going into the next year, less of a need to hedge the spreads. From the standpoint of hedging the retained fuel, as we’ve mentioned, we changed the way we think about, we changed our approach. And we are being much more cautious. And we – as we’ve said, we have hedged a large portion, thank goodness, of our fuel this year. And we have put on some no cost collars for 2011.
Yves Siegel: Good.
Mackie McCrea: As you know, historically, we’ve done minimal hedging of our retained fuel and we will – we look forward to the day that we resume that policy. However, right now as you know from us speaking, we are pretty bearish here as a partnership as it relates to gas process for the next couple of years.
Yves Siegel: Okay. And then before I say good-bye, could you disclose what the cost of the gas that you guys have in storage is and could you also say if you are looking at any material incremental acquisitions in the Haynesville?
Mackie McCrea: Yves, I’ll address the first one. I mean our cost I believe is $5.66 that’s in the ground now. But I can remind you that that’s a fair value due to the change in the carrier we did back in the first quarter – second quarter of 2009. We look at from an accounting perspective marking that inventory to go market basically every quarter. What we focus on is basically the injection price to the withdrawal price to capture that spread.
Yves Siegel: Got it.
Martin Salinas: Then incremental acquisitions in the Haynesville, yes we are. I would not say we are close than we think but we are looking at one thicker opportunity.
Yves Siegel: Okay, thanks guys.
Martin Salinas: Thank you.
Mackie McCrea: Thank you.
Operator: Your next question comes from the line of John Edwards with Morgan Keegan & Company. Please proceed.
John Edwards: Yes, good afternoon everybody.
Martin Salinas: Hey John.
John Edwards: Hey, the – on the water joint venture on the pipe, does that – is that going to – because you are helping producers that I assume that will continue to qualify for MLP treatment.
Kelcy Warren: You know, and I’ll let Tom mention – talk about this a little bit, we don’t know the answer to that as whether it will qualify purely as a service to our gathering business. However, we are not overly concerned because we can deal with it internally and not break it in the barriers that we have. Tom, you mind commenting on that please?
Tom Mason: Yes, we are looking into that issue now and with our outside law firms who are very familiar with the qualify income issues and may be a gray area we may seek an IRS ruling on, but as Kelcy mentioned, we have the ability to – there is – for one thing there is a 10% exception for the amount of qualifying income you can have and still qualify as an MLP. And so we have a lot of run rate particularly in the first few years as this thing takes off and hopefully it grows into a problem. But we think that as the – as our MLP grows, even if this were not qualified, it would be well within the 10% limit. And then secondly there is always ways of structuring to put the – our portion of the JV’s income flow into a (inaudible). Federal income tax on that is the dividends from that C corp are treated as qualifying income. So that may be a kind of a high class problem if it grows very substantially.
John Edwards: Okay, great. And then are you going to provide any guidance for 2010 or–?
Martin Salinas: No, John, we are not.
John Edwards: Okay, all right, I didn’t think you would. Okay. And that’s all I have. All my other questions were asked already, thank you.
Mackie McCrea: Thank you.
Martin Salinas: Great, thank, Tom
Operator: The next question comes from the line of Ross Payne with Wells Fargo. Please proceed.
Ross Payne: All right, just a couple of quick follow-ups. Kelcy, you know I know with a lot of these big new pipes even if they are intrastate, they are take or pay, so do we hear that volumes may be picking up in the Barnett, and what have you, is that benefiting your other systems, your older systems or how do we think about that?
Kelcy Warren: No, that is the way to think about it, as Mackie had a question earlier about the Texas independent top line system. And clearly there is capacity available in that system. That was built at a period of time when the producers load – or I am sorry, their production curve that they were providing us and asking us to provide those services were at a higher level. And then as you are aware, many wells were drilled to hole leases and a backlog of inventory of those wells have not been completed and brought on line and we are beginning to see that. That’s why our volumes are coming up. So, I don’t see the need other than probably some very much small systems here and there, but I don’t see a big need for a much large takeaway capacity out of the Barnett Shale from us (inaudible).
Ross Payne: Okay, thank you and Martin one other quick thing. In your Qs you kind of in the cash flow section you have a price risk management asset and liability number that’s fairly sizable. Is that where all this non-cash commodity and its referring derivatives is going through?
Martin Salinas: That does. That is a component of that, Ross. When we put on the derivatives it's where it falls on the balance sheet and then the other side is just the mark-to-market on the inventory. As I was answering Yves’ question, we also see some of that change in value per quarter to quarter show up on the balance sheet and inventory that change posted to the P&L.
Ross Payne: Okay, great thanks. That’s it from me guys.
Martin Salinas: Thanks, Ross.
Mackie McCrea: Thank you.
Operator: The next question comes from the line of Derrick Baliski [ph] with RBC Capital. Please proceed.
Derrick Baliski: Hey guys, just a follow-up question on the midstream side of the NGL volumes came down a little bit in the fourth quarter. Is that something we should start to kind of see, are you seeing that as a trend here or can you just speak about that a little bit?
Mackie McCrea: That – and so Derrick, you are looking there quarter over quarter or year to year?
Derrick Baliski: Quarter over quarter, I mean year over year it’s obviously up quite a bit.
Mackie McCrea: Are you looking at ’08-’09 or – I am not–
Derrick Baliski: Yes, the NGL barrels.
Mackie McCrea: I’d say in ’08 to ’09 increase–
Derrick Baliski: Yes that’s what – it’s up year over year but it’s down quarter to quarter.
Mackie McCrea: I see, quarter to quarter.
Derrick Baliski: Sorry.
Mackie McCrea: Yes, as I mentioned earlier the volumes behind Godley, for example, have been fluctuating up and down. For example, there we are recovering more liquids in this quarter on a day to day basis than we did last quarter but as the volumes have slowly started to grow in the Barnett Shale, some of that has been rich, and some of that has been lean, and so that had an impact on liquids, but we should see that continue to grow.
Derrick Baliski: Okay. And just a follow-up to a comment that Kelcy made in that’s that you guys are bearish on natural gas prices for the next few years. Could you give a little more detail on that or just kind of where do you think it’s going and your outlook?
Kelcy Warren: Yes, you know and I am not going to give you a lot of data that this has been prepared, although we review a lot of data prepared by third parties, but we do have the benefit of looking internally and looking at what we see as kind of the inventory of production that is going to be coming on and we just see that this is good news for us. we see a tremendous amount of production that’s going to be coming on, wells that were drilled, not completed that are going to be completed, producers expectedly pump the price producer style that this is the best use of their capital is to go sideways on some of these wells and bring them online. What they the well board has been drilled. So we just – we see a lot of data that you don’t see reported out there and we just think there is a lot of gas that’s going to be hitting the market in 2010 that people have not forecasted.
Derrick Baliski: Okay, thank you.
Kelcy Warren: Thank you.
Operator: I am showing no further questions in queue. I would like to turn the call back over to Chief Financial Officer of Energy Transfer Partners, Mr. Martin Salinas for closing remarks.
Martin Salinas: Thanks, Gerard. Wish you everybody’s time this afternoon and everybody have a great weekend, so no heaters up.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.